Operator: Good morning, ladies and gentlemen, and welcome to the Boralex Second Quarter 2025 Financial Results Conference Call. [Operator Instructions]. Please also note that today's conference is being recorded. [Operator Instructions]. Finally, media representatives, I invite you to contact Camille Laventure, Senior Adviser, Public Affairs and External Communications at Boralex. Her contact information is provided at the end of the quarterly press release. I would now like to turn the conference over to Coline Desurmont, Director, Investor Relations for Boralex. Please go ahead.
Coline Desurmont: Thank you, operator. Good morning, everyone. Welcome to Boralex's Second Quarter Results Conference Call. On today's call, Patrick Decostre, our President and Chief Executive Officer, will provide an update of our business. Afterwards, Bruno Guilmette, our Executive Vice President and Chief Financial Officer, will present the financial highlights of the quarter. Then we will be available to answer your questions. During this call, we will discuss historical as well as forward-looking information. When talking about the future, there are a variety of risk factors that have been listed in our different filings which can materially change our estimated results. These documents are all available for consultation on SEDAR. Mr. Decostre will now start with his comments. Please go ahead, Patrick.
Patrick Decostre: Thank you, Coline, and good morning, everyone, and thank you for joining us today. Before we start, I would like to take some time to highlight the other announcements we made this morning. First, I would like to sincerely thank Bruno Guilmette for his outstanding contributions over the past 7 years as our CFO. Bruno has played a key role in shaping our strong financial foundation, helping us double in size and hit major milestones. Under his leadership, the company completed several transactions and financings, including the sale to energy infrastructure partner, EIP of a stake of 30% in Boralex operating assets and development project in France. We will miss him. Why we will miss him? We are in great hand with Stéphane Milot stepping in during the interim period. Stéphane has a strong financial background and solid experience in different finance and IR role he played in the past 30 years. He has worked closely with Bruno in the past years and knows our business inside out. Bruno, thank you for everything, and good luck for your new professional challenges.
Bruno Guilmette: Thank you, Patrick.
Patrick Decostre: I'd like also to take the opportunity to officially welcome André Courville as the new Chair of the Board of Boralex effective September 30. André has been a valued member of our Board since 2019 and brings deep experience that will be key as we move forward with our 2030 strategy. At the same time, I want to sincerely thank Alain Rheaume for his remarkable leadership over the past 15 years, 8 of which he served as Chair of Boralex. Alain played an extremely valuable role in shaping Boralex growth, governance and long-term vision. On behalf of the entire team, thank you, Alain, for your dedication, and welcome, André. Back to the quarter now. In the second quarter of 2025, we continued to make good progress on both development and construction activities. Our operating facilities faced mixed weather conditions across the various technologies and region in which we operate and a decrease in average selling prices as expected due to lower prices on our short-term contract in France. This quarter, total combined production increased by 10% compared to the same period of 2024, driven by a strong performance of our operating assets in North America and the contribution of newly commissioned sites in Europe. Combined EBITDA was $145 million, down $7 million compared to Q2 2024. The increase in production in North America was not sufficient to offset the negative impact of lower prices of short-term power purchase agreements in France. Bruno will later provide a more detailed overview of our second quarter financial results. During this quarter, we were very pleased to announce the signing of 2 contracts with NYSERDA for the Fort Covington and Two Rivers solar project totaling 450 megawatts. New York State remains a strategic growth market for Boralex, and we are proud to support its renewed commitment to building a clean energy economy. While with the signing of the One Big Beautiful Bill, we now have more clarity in the U.S. market. As of today, we're confident that these 2 projects meet the safe harbor requirements, enabling us to secure eligibility for tax credit. We're making solid progress in securing panels and BoP for the construction of this project. This quarter, we were also thrilled to share that Boralex has been named Best Corporate Citizen in Canada by Corporate Knights. This recognition highlights our strong commitment to integrating corporate social responsibility and risk management at the core of our business strategy. I'm very grateful to our teams across North America and Europe for their dedication and hard work in building a more sustainable future. Finally, last June, we presented our strategic plan and financial objective for 2030. Our strategy builds on significant efforts made over the past years to create a high-quality project development portfolio, enabling us to set fully organic growth targets across our 4 geographic markets where demand and renewable -- for renewable energy is growing rapidly. For more details, please refer to the Investors section of our website. Regarding market updates, Quebec recently enacted Bill 69 to accelerate energy development. It gives Hydro-Quebec greater autonomy over its project and sets an electricity generation target of an additional 60 terawatt hour. Also, under government approval, private renewable energy producers are now authorized to sell electricity directly to an adjacent private consumer, creating new opportunities for decentralized energy production and commercialization. In Ontario, ISO has launched the first window of its long-term 2 RFP called LT2 aiming to secure 3 terawatt hour of new energy generation and 600 megawatts of storage capacity with deadline in October 2025 for the first phase and December 2025 for the second. To encourage local participation, the RFPs includes evaluation criteria to support Canadian companies. We're confident that our local expertise and strong relationships with local communities provide a solid foundation for upcoming bids in both markets. In the United Kingdom, the government concludes the review of electricity market arrangement, REMA, by deciding to reform the national pricing system rater than split the country into different pricing zones. It is a very positive signal for the renewable sector as the reform will improve the system while maintaining investors' confidence. The United Kingdom remains a key strategic market for Boralex with strong growth ambitions for the coming years. Our U.K. team is preparing to submit bids in the next AR7 RFP with binding submission scheduled from October through December. Now looking at our project. I'm pleased to announce the commissioning of 2 wind farms, Fontaine-Lès-Boulans, 18-megawatt and Febvin-Palfart 11 megawatt in the north of France. Both projects began operations ahead of schedule and under the budget, thanks to the dedication and expertise of our teams who have strong experience in the region. During the second quarter, we also continue to advance with the construction of our project in Canada. All the turbines of the Apuiat project are now installed and the commercial operation date is expected at the end of September. The construct -- in Ontario, the construction of 2 battery storage projects, Hagersville and Tilbury is advancing as planned with commissioning scheduled by the end of 2025. The Des Neiges project wind farm is also progressing with commissioning planned in 2027. In May, we announced the financing of the project, marking a key milestone in its development. I will now briefly review the main variances in our development portfolio -- project portfolio and growth path. The increase in our development project portfolio was mainly due to the addition of 242 megawatts of wind and solar projects in the early stage. In total, our portfolio of early, mid and advanced stages project now consists of projects totaling nearly 7.3 gigawatts of wind, solar and storage projects. In the second quarter, our growth path represents a capacity of 883 megawatts, reflecting a slight decrease of 4 megawatts compared to the previous quarter due to the commissioning of 2 wind farms in France totaling 29 megawatts and partially offset by the transition to the secured stage of a 25-megawatt battery storage project in the U.K. In addition, 2 solar projects in France totaling 23 megawatts progressed from the secured stage to the construction or ready-to-build stage. This completes my part of the presentation. I will now hand it over to Bruno, who will provide a more detailed overview of our financial results, and I will be back for the Q&A session at the end. Thank you.
Bruno Guilmette: Thank you, Patrick. Good morning, everyone. This quarter, total combined production was up 10% compared to the same quarter last year, driven by the strong performance from operating assets in North America and the contribution of newly commissioned sites in Europe. Production was nevertheless 9% lower than anticipated due to poor wind conditions in Europe and in the United States. Our combined EBITDA amounted to $145 million, down $7 million and discretionary cash flows amounted to $12 million, down $5 million compared to the second quarter of 2024. The financial results were negatively impacted by the lower prices of short-term contracts in France and the reduced share in net earnings of joint ventures and associates. I will now provide a more detailed overview of our quarterly production. In North America, total combined production for the quarter was 9% higher than the same quarter last year, but 6% lower than anticipated. Production from wind assets in North America was 7% higher compared to the same quarter last year, but 10% lower than anticipated. The good performance from wind assets in Canada was not sufficient to offset the lower contribution from wind assets in the United States and the delay in the commissioning of the Apuiat project. Production from hydro assets was 19% higher than last year and 8% higher than anticipated, mainly due to favorable weather conditions in the United States. Production from solar assets in the U.S. was 13% higher than the same quarter last year and 2% higher than anticipated. In Europe, total production was 13% higher compared to the same quarter last year but 14% lower than anticipated, mainly attributable to unfavorable wind conditions in France. Regarding our balance sheet, available liquidity and authorized financings totaled $689 million as of June 30, an increase of $166 million compared to December 31 of last year. Total debt increased to $4.3 billion with project debt accounting for 87% of the total. During the second quarter, our finance team has successfully signed several financings for a total of more than $1.2 billion to support our growth initiatives while diversifying our sources of capital. In May, we announced alongside our partners, Énergir and Hydro- Quebec, a $960 million financing for the denied wind project currently under construction. Later in the quarter, we closed a corporate financing of $250 million in the form of an unsecured subordinated loan maturing in 2033. The investment is jointly made by La Caisse, which is providing an amount of $200 million and a new partner, Fondaction, investing $50 million. In France, we are pleased to announce that in July, we closed the financing of an incremental tranche totaling $164 million under the term loans of 2 portfolios of wind farms and projects. Finally, on the CSR updates for the quarter, as already mentioned by Patrick, we are very proud to be recognized as Best Corporate Citizen in Canada by Corporate Knights. I would like to take this opportunity to reiterate our CSR commitments. As we pursue our 2030 growth trajectory, we will continue to prioritize a safe, healthy and inclusive workplace for our employees. We will also extend our engagement with local communities and make environmental responsibility central to how we operate. Looking ahead to 2050, sorry, the goal of achieving net zero emissions may seem very far, but is already shaping the decisions we make today. Our commitment to net zero aligns fully with the mission and purpose of our company. In conclusion, we continue to develop and execute our projects in attractive markets, maintaining a good financial flexibility. We remain focused on delivering long- term growth to our investors in line with the targets of our 2030 strategic plan. As this is my last quarterly call with you, I want to thank you all for your continued support of Boralex over the last 6 years. I very much enjoyed interacting with all of our shareholders and analysts. I will leave on September 12, leaving a very experienced group of colleagues who will continue to execute with discipline. You guys know I like this word, on our recently announced strategic plan for 2030. We have a strong balance sheet to execute on this plan. I want to take this opportunity to thank Patrick Lemaire, who I first started working with as CEO of Boralex and Patrick Decostre, who has been our CEO for the last few years and my whole finance team, who is a very strong team, and I'm very confident on the ability of this team and the transition plan we have put in place with Stéphane as the interim CFO. And I want to wish good luck to Stéphane. Many of you know him well. And what you may not know as well is that Stéphane and I joined approximately at the same time in early 2019, and we've been going on this incredible journey, doubling the size of Boralex with the team, with the management team and with the finance team since that time. Thank you all again, and good luck, Stéphane.
Stéphane Milot: Thanks, Bruno. I've been very privileged to have you and work with you in the past 6 to 7 years. So we'll continue for sure with the team and wish you all the best and until for this new challenge. So very thrilled. So on the -- on this, I think we'll go through the Q&A.
Operator: [Operator Instructions] The questions come from the line of Sean Steuart from TD Cowen.
Sean Steuart: Congratulations to both Bruno and Stéphane. Patrick, I'm wondering if you can provide any update on the hydro sales process. I think last indications where there was quite a bit of interest. Any updated perspective on how that process is playing out?
Bruno Guilmette: Sean, Patrick said today because of this change that I'll send all questions to me, especially the tough one. As you know, we've mentioned and talked about asset recycling as a means of financing, but we also talked a lot about discipline. And we also want to emphasize that we always have options for different types of financings, but we're always focused on the lowest cost and the best opportunity to do our financing. So on the hydro sale specifically, the offers we received were not at the required price that we were looking for. And essentially, we said that we did not need to do the transaction because we had other options where these assets are very good, and we'll keep them in the portfolio. It offers good diversification. And you've seen that we closed on the subordinated debt financing for $250 million, and this gives us the best cost of financing in terms of alternatives and offers the liquidity needs to continue to grow our plan for the near future.
Sean Steuart: Understood. And with respect to prospective growth, at the Investor Day, there was mention of wanting to build up the current regional platform, and there was a discussion of the U.S. still being of interest even after the New York solar projects as a growth vehicle for the company. Wondering about your perspective, whether it's the reconciliation bill or the subsequent executive order and investigation and the related rhetoric around that. Does that change your perspective on the U.S. as a longer-term growth driver for this company?
Patrick Decostre: First, on the project themselves in New York, as I mentioned, they are safe harbor, and we are very confident with this because it was even prior to the bill. So that is one important point, and we are working on this project to make them -- finalize them and take investment decisions in the following quarters, I would say. On the long-term part, what is, I think, clear is that the demand in the U.S. is still -- very growing quickly and very important. So I think we have to continue to work on developing there. And the good news, I think, with the bill is no -- there is less unknown than before the bill. As long as you have the assumptions for the model, you can define the price and what is the price and every players are bidding on the same level. So we will continue to develop in the U.S. and specifically in the state of New York to create a platform there. And we will obviously continue to look to alternative in Canada, U.K. and France if it's better for capital allocation.
Operator: And the questions come from the line of Nelson Ng from RBC Capital Markets.
Nelson Ng: Bruno, I think we're all sad to see you leave. And I think that's being echoed by the market just judging from the share price reaction, but good luck in your next role.
Bruno Guilmette: Thank you, Nelson. I'm pretty confident that price will recover in the next few minutes. Thank you.
Nelson Ng: So first question is in France, obviously, you guys flagged that one of the headwinds is the lower-priced short-term contracts. Like when we look at the rest of this year, should we expect the same type of headwinds? And can you just give a bit more color on the -- call it, the EBITDA headwinds you see from the short-term contracts in France?
Bruno Guilmette: Thank you, Nelson, for your question. The -- essentially, we start from a high point where the prices in France were boosted by the different things that happened in France a few years ago, and we've been able to profit from those higher prices and contract for a few years. We're at the tail end on these contracts, and that's why you see a difference because we contracted for 3, 4, 5 years in some instances, and that's where you see the decline essentially from higher prices to what I would say, normal prices. So there is a diminishing effect as we're at the tail end this year mainly of this trend of higher prices to normal prices. So you should see a diminishing effect in the next 2 to 4 quarters.
Nelson Ng: Sorry. So the following quarters will see a smaller impact compared to the largest impact?
Bruno Guilmette: Very much.
Nelson Ng: Okay. Great. And then the next question just relates to the New York solar projects. I noticed that it's not on your growth path chart yet. What are some of the big milestones you need to achieve before you guys put it on the growth path?
Patrick Decostre: Yes. Nelson, we are working closely with panel suppliers and BoP contractors quite advanced in engineering of the project to finalize an investment decision end of this year, beginning of next year probably. And then start of -- the start of construction formally has been done because we have already ordered transformers beginning of this year. So that I will not use start of construction because -- but the really final investment decision will be taken beginning of next year. And then it will be in service in 2028 for both projects. So this is -- we have a good local partner for BoP we are working with. So it's an interesting first project in New York for us.
Nelson Ng: Great. And then just one last question, sticking to the U.S. Like now that there is better renewable tax credit visibility, and I presume there could still be some surprises later this month. But what are your thoughts on repowering the U.S. wind projects in New Mexico and Texas. I think they are about 10 years old now. So they -- so those PTCs are rolling off. And I guess they -- if you were to repower them in the next few years, you probably need to do something about it to safe harbor them by July of next year. So any thoughts there? And obviously, it's a decision between you and your partner, EDF. What are your initial thoughts on the repowering?
Patrick Decostre: Yes, we are -- we have to look to all those things depending -- but it depends for sure on the PTC, ITC situation, but it depends also on the price of electricity that we can get in Texas. And that is presently, the prices are lower than what we have experienced the last year. So we are working on different optimization of the assets. We have contracted one of the small assets in Milo in New Mexico. So we are constantly working on this and have the team -- the commercial team has different idea. But the answer is yes, we're working on this, but no clear answer of any decision or orientation I can give today.
Operator: The questions come from the line of Mark Jarvi from CIBC.
Mark Thomas Jarvi: First, all the best, Bruno, and thanks for all the time in the last couple of years and thanks for stepping Stéphane.
Bruno Guilmette: Thank you, Mark.
Mark Thomas Jarvi: Yes, there was a media article suggesting that you were exploring potential partners and different options with the U.S. or the New York projects. If you do go down that path, what would you be looking for in terms of partners? Is it risk sharing of capital? Is there something else that you're looking for in terms of partnerships, specifically in the U.S. and New York?
Patrick Decostre: No, essentially, it's that. It's a way of -- we have -- like all the time, we're looking to the transaction, we are sometimes buyers, sometimes potential sellers, and we have -- we are monitoring the market there. It's a way to optimize the return and share some risk with -- for a good project. And I think that's what we're looking for essentially. We have a good team also for the development and construction of this. So essentially, this is looking for a partner at the right valuation in this market.
Mark Thomas Jarvi: And you do that at pre-completion? Or is this something you want to complete the projects, crystallize the value and then bring in a partner for a sell-down?
Patrick Decostre: Yes. I will not go into these details, but it is a financial optimization process. So it will depend on what are the willingness of the potential buyers to take construction risk or not and see the different value that they are giving to this. And then we will look if it's interesting for Boralex or not. And if it's a way forward for us. If it's not, we will be very happy to do the project because they have a good return and they are accretive on the free cash flow per share and they are accretive for the company.
Mark Thomas Jarvi: Makes sense. And then your comment about safe harboring with the transformer investment. Was that done in 2024 or done at some point this year?
Patrick Decostre: No, it was done this year. I think we had -- it was 3 months before May because I remember that it was -- there was a delay. So early 2025, yes.
Mark Thomas Jarvi: Okay. And then just turning to Scotland. Can you just maybe elaborate a little bit on the impacts of the REMA, why you think that's beneficial? And then with the battery projects showing up in your advanced pipeline, just pursuit of more battery projects right now and how you sort of see the mix of wind and battery development in the U.K. playing out over the next couple of years?
Patrick Decostre: Yes. The risk of -- during the REMA consultation, specifically with the former government, there was a risk of some customer- oriented bodies that were lobbying for regional prices in the U.K. And so prices could go -- could be impacted the closer you are to the loads, the -- it will -- and all the further you are to the load, the lower the price would be. And this is not what the government has decided for many reasons because otherwise, it would have impacted a lot the wind in Scotland specifically. So that is an important point for us, first of all. And the second point is they want to continue to optimize the total cost of power in the U.K. And definitely, some -- the plan of the U.K. government is to go from 5 gigawatt to 25 gigawatt of storage in the U.K. because it's a small system compared to Continental Europe. And in this small system, they need to have more support to the grid, and that's exactly what we are doing with our project, which is called Toftingall. It's not far away. It's probably 20 kilometers from Limekiln. It's in the same area of the grid, and it's an important add-on to the generation. And the market is the U.K., as you know, is also quite sophisticated in terms of day ahead and balancing mechanism, and we are, say, playing this market or -- and this will be -- this will give more options to play it with storage and wind at the same time.
Mark Thomas Jarvi: Would you say storage returns in the U.K. are comparable or better than what you'd maybe try to get in Ontario or...
Patrick Decostre: No, it's comparable. It's comparable. It's a completely different situation because it's not -- we will not do -- like we do -- presently in Ontario, we do stand-alone storage. In this situation, it is clearly a storage, which is electrically close to our project of Limekiln. So it's the same dynamic, and there is a complementarity. In Ontario, we really are able with the long-term contract with the ISO to do stand- alone storage. So it's a different risk profile, but a very interesting one.
Stéphane Milot: You have to -- this is excluding the ITC, in terms of return.
Operator: And the questions come from the line of Baltej Sidhu from National Bank of Canada.
Baltej Sidhu: Congratulations to both of you, Bruno and Stéphane. So first, with hydro being the most near-term capital recycling item, which is now off the table just given where bids had shaken out, could this change the calculus with respect to funding plans for the 5-year plan where I think capital recycling was around $900 million, and we were looking at limiting equity issuances up to $500 million.
Bruno Guilmette: No, it doesn't change the overall financing plan. Essentially, we have different options in the portfolio to do capital recycling. We've already identified other possibilities, and it will continue to be planned as we did in terms of the amount, but using our different options at the right time. And again, on the financing side, we have always good options in terms of debt refinancings. We've proven this quarter and other previous quarters that there's quite a bit of different options to leverage either corporate or projects. And in terms of -- so essentially, we don't expect more equity needs at the end. It's just different options, different timings for the capital recycling.
Baltej Sidhu: Perfect. That's great. And then just in regards to France, just given where pricing is, would there be expectations that these assets could be repowered or stay on the merchant market? Or is the corporate PPA market robust enough? What are your thoughts on that?
Patrick Decostre: Yes. We had different options of repowering that we were already looking in 2020, 2021. And some of them have been shelf for a certain period because the short-term price has been very, very good, and we have been able to contract short-term price for '22, '23, '24 and '25. Definitely, we are looking to this. We have, for example, bid a project over 100 megawatts in the last tender in France, which is a repowering extension of one of these projects that we put in service in 2005 and that we have extended with very good price the last year. So this is something we are dynamically looking at and monitoring to create the more value as possible.
Baltej Sidhu: Great. And just one follow-up on that. So if repowering did occur, could you share any estimated cost estimates on a megawatt basis? Or is that too early to say right now?
Patrick Decostre: Yes. Repowering in France, you have to look to that as somewhere new project. What you -- because in the example I'm giving, the power of the new project is 2.5x the power of the project that has been authorized in 2004 and 2002 and built in 2004. So it's a completely different situation. What is the real value of repowering is the fact that we have social acceptability, local community support and relations since in this case, 25 years almost. And that is the key point in France. Obviously, you benefit from an existing grid connection depending on the factor of power increase, but you need many times to add another grid connection. So even grid connection is not always an economy. It has been in some projects that we have repowered the last years. Sometimes it's not. But it's each project we have to look for, and we are monitoring the best time to take the decision of repowering.
Stéphane Milot: So just it's -- if you're modeling for per megawatt, it's like a new project.
Patrick Decostre: Yes. And what is great is you go and you bid and you obtain the long-term contract for 20 years. So you can refinance. So we are taking everything into account to be sure that it's accretive and reducing the risk for the company.
Operator: The questions come from the line of Benjamin Pham from BMO.
Benjamin Pham: I wanted to touch base on the data center customer side of things. For Boralex, is there any opportunity to get leverage to that industry either through corporate PPAs or some sort of bilateral contract?
Patrick Decostre: Yes, it's not the main topic that we have commercially presently. I think, as I mentioned, I think, in different Q&A, there is a lot of big players or people with firm power who are working with data center. What it left a lot of place for us because it's increased the demand on the system. But we're not specifically working on data center.
Benjamin Pham: Okay. So it sounds like the companies that are well positioned, they have more scale and supplier -- and not to say you don't have supplier relationships, but it sounds like it's more of the bigger scale players that are better positioned.
Patrick Decostre: Yes. On the scale side, it is the case. On the contractual part, we have shown that we have been able to sign many contracts last years with a very good margin on existing or new assets. And I think it's the right strategy for Boralex to concentrate on this instead of trying to compete with the big players who have indeed scale competitive advantage to us.
Bruno Guilmette: So it's focused on price and margins rather than volume in our case.
Patrick Decostre: Exactly.
Benjamin Pham: Okay. I know you've been discussing the [indiscernible] hydro asset, your reasons for not selling. But I just wanted to maybe expand on this a bit because I'm a bit surprised you didn't go for sale thinking that there's probably going to be the best multiple you get in your entire portfolio. So I'm wondering then just given the amount of demand, was this just simply Boralex had a certain multiple in mind and it wasn't reached? Or is there something around some sort of -- maybe -- I think you referenced some other optimization strategies that could create more value?
Bruno Guilmette: Yes. At some point, Ben, we need to -- clearly, we always have high expectations. As I said, we need to find the lowest alternative for lowest cost financing. So we always have high expectations from ourselves based on the quality of these assets. This is -- we'll continue to operate the assets. There might be financing opportunities in the future also to optimize further. So I think in the end, it's a question of timing of the process and valuation, but we very much believe that these assets should have a higher value than what we've had during this process. And at the same time, we were and are still working on different alternatives for financing. So we're never short on options, and we'll always take the best options for our shareholders.
Benjamin Pham: Got it. Maybe my last one, and by the way, congrats on the next adventure. I'm just thinking you're probably quite intimate with the strategic plan and building it not too long ago. But how does Boralex then think about the transition now with the new CFO and the strategic plan, which Bruno would have been heavily involved with? Is there enough accountability across all your channels that develop that plan that you can seamlessly transition it that the new CFO doesn't have to go and maybe not feel comfortable with the plan or may have to recommend changes to it?
Bruno Guilmette: I think we've explained and demonstrated that there is a very clear transition plan. Both Stéphane, I and the whole management team have been very intimately involved in preparing the strategic plan for 2030. I'm extremely confident in the ability of the team and the skill sets to execute on this plan and everyone in management and the finance team work closely together. So there's no surprise to be expected on that front. This is a plan that will continue to be executed on and that doesn't change the targets we've put in place.
Patrick Decostre: Exactly. And I think we have Stéphane is supervising the FP&A since many months now, have been involved himself with the FP&A team in the modernization of the thing. Eric is working as VP Finance for all the financing and has been involved since now years in the different financing we have. And so there is no question around this. And Pascal Laprise-Demers that you have seen also was instrumental to according all those things with the strategic part of the project. And there is a lot of people behind this. So it was a bottom-up top-down, bottom-up, top-down process, and I think we have margin and different ideas of optimization. So as I mentioned, we will miss Bruno, but we're not alone, and we have a strong team with us.
Bruno Guilmette: And -- and you know we have a mid- to long-term business. So you can look at our growth plan, our specific assets that are in the growth path. And you can see that this is a clear path and the strategy numbers based on the actual projects that we have and the plan is based on organic growth. So there should not be -- and there will not be surprises on that front.
Stéphane Milot: And I can add -- just one point, Ben, on -- like when we present our plan, it's like we have source and use of funds and we give indication of where we want to go. But at Boralex, with Bruno, it will continue with me and with the whole team. We want to have options. We're always looking ahead. We are evaluating different financing options. So it's not going to track necessarily perfectly year-over-year what has been said. But overall, for the next 5 years, we stay the course, like this is where we're going, and we always select the option that is the most favorable for the company and the shareholders. So I just wanted to add that.
Operator: [Operator Instructions] The questions come from the line of Robert Hope from Scotiabank.
Robert Hope: Congrats to Bruno and Stéphane. Questions regarding Quebec Bill 69. How do you think the authorization of direct sales will impact the market there? And how will you set the organization to better interact with large power users in the province?
Patrick Decostre: Yes. Essentially, we are -- we have been already in different conversations with large customers during the last years. And because -- the reason why there is this part of the law is because customers and IPPs have been advocating that it's a way like in France, in the U.K., in the U.S. to do something directly and that is good for the system, okay? And that's a way to bring power quicker to the system. So I think this is one thing which is interesting. So we are already in relation with some customers and have experience of doing this in France specifically and listen to customers. The demand in Quebec is very high. As you have seen, Hydro-Quebec, the plan is -- and the law is speaking about a 60 terawatt hour increase of demand, which is really significant increase of demand. So there will be many opportunities for IPPs, even if Hydro- Quebec is working, as you know, on larger projects, but they are working and they are saying that they will continue to work with IPPs because we have experience of doing that in other place. So I think it's -- it will help also Hydro-Quebec to build lines also, which is very important to bring more power on the system. And all those things, I think, are good news at the end for the industry.
Operator: We have no further questions on the phone. I will now hand back to you for any questions on the webcast that you may have. Thank you.
Coline Desurmont: Thanks, everyone, for your attention. Our next conference call to announce third quarter results will be on Friday, November 7, 2025 at 11:00 a.m. Have a nice day and a nice vacation for those waiting for the end of the quarterly reporting. Thank you.
Bruno Guilmette: Thank you all.
Patrick Decostre: Thank you.
Stéphane Milot: Thank you.
Operator: This concludes today's conference call. Thank you all for participating. You may now disconnect your lines. Thank you, and have a great day.